Operator: Greetings everyone and welcome to the Calix Fourth Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the brief prepared remarks. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Jim Fanucchi, Vice President of Investor Relations. Sir, please go ahead.
Jim Fanucchi: Thank you Paul, and good morning everyone. Thank you for joining our fourth quarter 2022 earnings call. Today on the call we have President and CEO, Michael Weening; Chief Financial Officer, Cory Sindelar; and Chairman, Carl Russo. As a reminder, yesterday after the market closed, Calix issued a news release which was published on our Form 8-K along with our stockholder letter, which was also posted in the Investor Relations section of the Calix website. Today's conference call will be available for webcast replay in the Investor Relations section of the Calix website. Before I turn the call over to Michael for his opening remarks, I want to remind everyone on this call, we will refer to forward-looking statements, including all statements the company will make about its future financial and operating performance, growth strategy, and market outlook and actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause actual results and trends to differ materially are set forth in the fourth quarter 2022 letter to stockholders and in the annual and quarterly reports filed with the SEC. Calix assumes no obligation to update any forward-looking statements, which speak only as of their respective dates. Also in this conference call, we will discuss both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in the fourth quarter 2022 letter to stockholders. Unless otherwise stated, all numbers referenced in this call will be non-GAAP measures. With that, it is my pleasure to turn the call over to Michael. Michael, please go ahead.
Michael Weening: Thank you, Jim. In the fourth quarter, the Calix team once again executed with [their funds] [ph]. Continuing our track record have improved financial performance across the four measurable objectives that we have outlined for investors: deliberate revenue growth, gross margin expansion, disciplined operating expense management, and continued predictability. Demand from new broadband entrants, progressive broadband investors and legacy minded communication service providers that are transforming from dumb pipe providers to a Calix platform based broadband service provider was strong in the fourth quarter. The team delivered 39% year-on-year growth in Q4. This closes out an incredible 2022 delivering our third consecutive year of greater than 25% revenue growth. Calix [connections] [ph], our customer success and innovation conference posted more than 3,000 attendees coming together in-person and virtually. The excitement after connections was a key contributor to our fourth quarter results as we added 26 new broadband service providers, bringing the 2022 new BSP total to 119. As of fourth quarter, the number of BSPs started their platform journey with us increased by 20% year-on-year. We ended the year with 950 BSPs leveraging the Revenue EDGE, the Intelligent Access EDGE or both. In addition, RPOs were 199 million in the fourth quarter, up 59% year-on-year, and 15% sequentially as more BSPs leveraged Calix platforms and managed services to transform their business. Our platform and managed services bookings were more than 90% of our total bookings in fourth quarter, thereby completing our transformation to a platform company. As our transformation is complete, we will no longer talk about this metric. Instead, we will talk about how our team is enabling BSP customers to transform their business through the power of platform and managed service offerings. Every 91 days, our cadence of innovation delivers new capabilities that help the Calix platform based [BSP succeed] [ph]. Before I share my thoughts on 2023, I'd like to turn it over to Cory for additional commentary. Cory?
Cory Sindelar: Thank you, Michael. On the supply front, the Calix team outperformed again, allowing us to deliver revenue of $245 million at 51.6% gross margin, both slightly above our guidance range. At the same time, [we built] [ph] incremental inventory of $8 million relative to the third quarter at an inventory churn of 3.0, which remained within our inventory guidance range of 3% to 4%. While the supply chain environment is improving in some areas, the challenging areas remain unpredictable and result in surprises. These times remain extended, decomits still happen, and sourcing components in the secondary markets require extraordinary effort. We continue to expect the supply chain environment to be challenging through 2023, balancing our strong demand expectations. With our current view of supply chain performance, we reiterate our target financial model of 10% to 15% revenue growth that we offered during our Investor Day last February and again last quarter. Albeit, we expect to be at the high-end of this range for 2023. We also reiterate 100 basis points to 200 basis points of gross margin expansion. Furthermore, as we continue to evolve and our platform in managed services grow, we are making modest changes to our operating expense model. The sales and marketing operating expense range will increase to 18% to 20% of revenue from 17% to 19%. R&D operating expenses will be 29% of gross profit versus 30% of product gross profit. Remember, we are no longer breaking up product and services revenue, and gross profit going forward. And G&A operating expenses will decrease to 7% of revenue from 8% of revenue. Calix is leading the disruption occurring in the communication industry and to address this opportunity, we plan to invest wholesomely to the target financial model. Back to you, Michael.
Michael Weening: Thanks, Cory. The market is entering a period of inflection. The legacy provider is faced with the growing reality, the speed of the go-to-market strategy will not succeed in the long-term as most consumers simply do not understand broadband speed. In markets with more than one provider, a speed only strategy will result in the commoditization of their product, which always starts a price eroding battle with no path to revenue, or subscriber gains. This is the once in a generation opportunity that Calix is uniquely positioned to address. 12 years and over a billion dollars in investment into our platform and growing portfolio of managed services has enabled Calix to be the company that is uniquely enabling a growing number of broadband service providers to dominate their market and beat the legacy provider. We remain committed to our mission. To enable our BSP customers to simplify their business, which consistently delivers new levels of operational efficiency, excite their subscribers through a growing portfolio of managed services, and grow their business, delivering subscriber based expansion, improved profitability, revenue growth and an ever growing positive impact on the community they serve. We thank everyone for their continued interest and support of Calix. Paul, let's open the call for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question is from Ryan Koontz with Needham & Company. Please proceed with your question.
Ryan Koontz: Good morning. I wonder if you could expand on your impressive surge in RPO you saw in Q4? Is that driven at all much by change in mix or contract duration, across your customer segments, any kind of color there would be helpful? Thank you.
Michael Weening: As we said, we had strong demand and across our broadband service providers as they continue to adopt our platforms and adopt our managed services, part and parcel of that as you see growth in RPOs as we close more contracts. Anything else you'd like to add Cory?
Cory Sindelar: Yes, right. I think it had more to do with the strength of coming off the connections. We also saw some specific around our new product marketing cloud plus, but it was on contract duration extensions. It was just increased business activity following the over, you know, the strong attendance coming out of connection.
Michael Weening: Yeah. I'll just add one piece on that, Ryan, is that, like I said, there were over 3,000 attendees not just in-person when we ran the event in October, but also we ran a very successful virtual connections two weeks later. So, with over 3,000 people attending those different events, there was a huge amount of interest in what we're doing.
Ryan Koontz: That's great. Really helpful. And wondered if you're making a comment at all in, kind of the bookings climate out there in Q4. I know this is seasonally a softer time for major CapEx investments and there's been some commentary in the industry around booking softness as customer lead times, customers don't order product in quite as far lead. Any color you can share with us there on, kind of the general climate around bookings?
Michael Weening: Thanks, Ryan. As you know, we do not disclose bookings or backlog. That said, demand for our platform and managed services was strong in the quarter as you can see by the RPO growth and our new land and expand chart, which we provided in the investor letter for the first time, gives you good insight into the growth of that land and expand.
Carl Russo: Brian. This is Carl. I want to take the benefit of [indiscernible] advanced age and advantage of the Chair position to just share with folks the fact that I've been through these cycles not pandemic induced multiple times. And I want to highlight what Michael I just alluded to and what Cory spoke about in your conference and say that from my perspective, a [indiscernible] company, by the way, which Calix 1.0, we remember way back when it was, we experienced in this time, higher book-to-bill ratios because of your point lead times extending out, customers will order further out, sometimes they'll double order. For example, if you have a distribution channel, you're going to take double ordering. We saw that back in the dot-com bubble in [MERS 2002] [ph]. Those are factors that to get people the same we're going to have the same, sort of thing. And I suspect you'll hear from vendors, book-to-bill that are less than 1. Calix is not Calix 1.0 anymore. And what you're seeing is the strength of the platform to manage services and the difference it makes in our demand profile and the team's ability to forecast that demand. And so, while I appreciate the question, I will employ you to understand that this is no longer that, sort of animal. And so, I'll simply amplify on what Michael said, and what Cory spoke about in the conference, demand visibility here is very good, and the demand for the platform to managed services business is strong. Fair enough?
Ryan Koontz: That's very fair. Thanks, Carl. Appreciate that very much. I'll pass it.
Operator: Thank you. Our next question is from George Notter with Jefferies. Please proceed with your question.
George Notter: Hi guys. Thanks very much. I was just looking at the shareholder letter and there's a chart that focuses on platform and managed services adoption. I think you just refer to it, the land and expand slide. So, it's great to see all the new customer adoption, but I guess the question I have is like when you when you look at the growth of the software side of the story going forward, do you think more of it is really predicated on adding new customers or do you think more of it is really about deepening your penetration in existing customers? Like how do you think about those dynamics?
Michael Weening: Thanks, George. So, as we put in that chart, it gives you good indications of the three levels of adoption, right. Starting out with the platforms and the second bar is what we're doing on the cloud. And the third bar is, as we've always stated, the early inception of us going down the managed services. And so, to your question, we actually think about it in all the ways that you identified. On one side of it, we're acquiring new customers. We talked about how or on quarter we keep adding more new customers. That was 119 in the year, right? Once we're in, they generally start out with our platforms. So, if they're a new broadband service provider, they're deploying a new network, if they're a brownfield existing service provider, they're maybe doing a new build-out. They're overbuilding their old technology, whether it's old DSL or old cable, right? And then as they start to embrace the transformation of their business from a speed orientated dumb pipe company into an experienced company, then they start rolling-out our clouds to transform their call centers. So, they have a great experience and they have a managed service and their marketing organization and operations. They have automation and ROI, which then leads them to the third stage in their transformation, which is then going beyond speed and offering full managed services.  And so, my point is that, it's a staged model that we go through with every customer. Many of them are at different stages in this scenario. So, we have huge opportunities in all kinds of places. And a great – I'll give you one last example is that if we have an existing competitive account, wasn't a huge opportunity for us to go. And then we can start by transforming the marketing organization or we can start by transforming the managed Wi-Fi and incremental services, you know, so we have a land and expand all [of those] [ph].
Carl Russo: And let me just add on to that George. I look at that in three dimensions. So, first dimension is adding customers. Second dimension is adding subscribers. So, as they grow their networks and evolve their networks, and then adding new applications on top. So, to your point and to your question directly, we could stop landing new customers and continue to grow for a very long time. Most of the growth is still going to come out of the additional subscribers that they take. And grow their subscriber base and as they add additional platforms.
George Notter: Got it. That's helpful. And then one other one for you Cory. I noticed the change the target model. Could you talk a little bit about why you're making that change right now? Is there something you see that's different about the ultimate profitability of the company or anything you're seeing fundamentally in your business? Is it more just a recognition that you guys have been, kind of undershooting relative to some of those targets on the cost side previously?
Cory Sindelar: Yes, George. It’s more of a function of the evolving business model, right. Remember, as we started adding additional software to the business mix, we will invest more in the sales and marketing side, right. So, I'll be at the increase that you're going to get on the sales and marketing side will be offset by higher gross margins. But over time, if you think about a mature software model, sales and marketing is higher than where it is today. So, what you're seeing there is, we're going to, we took up that range to, they could affect any greater software contribution. At the same time, now that we've grown for 25% for the last three years, our G&A model is too high, and you've seen that we've consistently underrun that by about a percent. So, all we're doing is really lowering the G&A model to reflect the realities of where we're at the size of the business and the synergies that we've achieved. And moving that up to the [sell to the market] [ph] reflecting the software contribution. That makes sense, George.
George Notter: Got it. Thanks very much guys. Appreciate it.
Operator: [Operator Instructions] Our next question is from Paul Silverstein with Cowen and Company. Please proceed with your question.
Paul Silverstein: Thank you. Can you remind us relative to the [950] [ph] that adopted the platform managed services, the total customer count now is, I think last time you gave was 1,700 plus, what's it now?
Michael Weening : You'll see in the 10-K that we're approaching 2000, Paul. [Indiscernible].
Paul Silverstein: So, it's almost 50% penetration in terms of [breadth of data] [ph].
Michael Weening : That's right. We look at it. That's right. We look at it all. Oh wait, it's 50% penetration of one platform or more. Starting the platform [period] [ph]. Starting a platform journey. So that means that they could have the Intelligent Access EDGE, the Revenue EDGE or both. 
Paul Silverstein: Understood. You're anticipating my next question, which is, if I look at the 844 disclosed customers that have adopted one or more clouds, can you give us some sense for – from a depth of penetration standpoint, what was the incremental adoption for those who had already previously adopted 1 or 2 clouds, how many when added a second or third cloud or the bulk of those 84 already at 3 clouds?
Michael Weening : Yeah. The bulk of those are not at 3 clouds. And so, but we are not providing any further granularity on that Paul.
Paul Silverstein: It was [good help] [ph]. Can you give us qualitative insight as the ads are going to help you progression? I assume most customers start with 1 cloud as opposed to 2 or 3 and then progress over time. Any sense for what's been the average? I recognize in one case, you just launched this past year with [indiscernible] on what the progression has been qualitatively?
Michael Weening : Well, you're right. We always start with one cloud. They don't like – the majority of the time we start with one cloud. And then what happens is that depending on the cycle of their deployment, and their transformation again. So, let's say they start out with support cloud. So, you're transforming a call center and if you take a traditional network company, that transformation of a call center is very part and parcel of what you do every day.  And then it goes into the next one, which is do you actually understand the need to transform away from a speed based go-to-market model? And then you're going to go after the marketing cloud or you're looking for operational efficiencies and you're going to deploy operations cloud because it drives massive reduction in OpEx. So, it really just depends. So, qualitatively, you're right. It depends on the length of the deployment before they go to the site and [indiscernible].
Carl Russo: And Paul, this is Carl. I'm frankly amazed that you weren't simply overwhelmed by the addition of this new metric, and I didn't have you, like, literally, the oxygen snaps from your lungs to the [indiscernible] of this chart.
Paul Silverstein : You just passed the oxygen from my organs, Carl. So, if Ryan already asked this, my apologies. I don't think he did, but from a macro perspective, of course, the investment community understandably worries about the current climate, the increase in interest rates, macro environment, I know you get asked at least once every 90 days, but if not more often. But any sign of a pullback in BSP deployments projects, delays, project cutbacks, whether due to interest rates or the ongoing need of constraints and on the latter, are you seeing any improvement? Given what's going on in economy, the layoffs, etcetera, are you seeing any improvement in labor constraints, [indiscernible] more complex projects going forward?
Carl Russo: Yes, it's a good question, Paul. And I think what's very interesting about interest rates as they have moved. And the general economy is, it actually highlights the differences in the market and the disruption, but rather than me answer that, Michael obviously has relationships with many, many of the leaders in our segment and I think can speak more eloquently to it.
Michael Weening: Yeah. So Paul, interest rates create an opportunity [cost buyer] [ph], if you're running a low ROI business, the opportunity cost buyer is above your business case, so you stop investing. If you have a high ROI business model and the bar is lower, while you'll continue to invest even when interest rates go up. So, now I'll slide that to a service provider. The legacy provider uses terms like [indiscernible] and only competes on speed and price, they're really just an infrastructure player. Where the Calix BSP uses subscribers served and net promoter score, which enable them to drive a dramatically higher ROI. So, when these interest rates happen, it is irrelevant because they're ROI is way over the bar. So, that's kind of how we're seeing the market.
Carl Russo: And on the recession side that Paul asked about from a jobs labor potentially layoffs or whatever? What are you seeing there from our customers?
Michael Weening: Well, so with regards to the recession at this point, actually [job adds] [ph] are still strong. So, if you look back, if I – correct me if I'm wrong, Cory, but in December, [job adds] [ph] in the United States for 230,000, I think they were – a month before our job adds for 261,000. So, while we hear this general noise in the market for people who follow tax, it's actually a completely opposite scenario across the United States. When I can still go into it to full day and get, you know I see the signs of hiring, hiring, hiring and they're offering $22 to $25 an hour, that doesn't really translate into labor markets bring up in the real market at all.
Carl Russo: So, for our customers, does labor still a constraint in [unemployment] [ph]?
Michael Weening : Yes. So, now I just had a conference with a bunch of CEOs and they all said the same thing and said labor remains a constraint.
Paul Silverstein: All right. Before I pass it on, just to clarify your previous comment about carrier activity, deployment activity. I've heard you make the comment before I understand your point about your higher ROI and therefore being less of a challenge, but if I could just ask you this simple question, independent of that fact, are you seeing any pullback, any delays by carriers and project deployments?
Michael Weening : Any Calix broadband service providers? No.
Paul Silverstein: Okay. I'll pass it on. Appreciate it. Thank you.
Operator: Thank you. Our next question is from Michael Genovese with Rosenblatt Securities. Please proceed with your question.
Michael Genovese: Great. Thanks. I guess, I want to talk about the supply chain and some of the comments made at the conference a couple of weeks ago that there were, you know decommits in the quarter, I think if you hadn't said that in the conference, we wouldn't have noticed it in the results. So, could you talk a little bit more about this quarter's decommits versus last quarter's decommits, the kind of changes in the environment in the supply chain, and then what do you expect going forward for the next few quarters?
Michael Weening: Yes. Thanks, Mike. Over the last two, three years, it's been a challenging and supply environment. We've had decommits and schedule-outs all the time. So, it's a continuation of the same that we've been experiencing. And what you've seen us this quarter do again continue to execute with excellence and our supply chain has met those challenges and rose above them. So, I think I've said that we think the worst is behind us. Last quarter, we talked about the supply chain bottoming and improving. So, we expect that the supply chain will continue to improve, yet it remains challenging in certain regards. And so those things will continue to work through, but if I were to go year-over-year, it's a better supply environment than it was a year ago.
Michael Genovese : And I guess just my question, our follow-up to that is, so if it's better than it was a year ago, I mean, do you expect the improvement in 2023 to be, sort of smooth sequentially with this improvement out in through the year? Or are you braced for potential lumping back and forth throughout the year and that later quarter could be tougher than in the earlier quarter, if that question makes sense?
Michael Weening: Well, that's the interesting thing about a challenging supply environment. There's surprises. So, I can't tell you what's going to happen in the future. But I can tell you that if you look back a year ago, we were only forecasting revenue growth of 5% to 10%. We're sitting here today saying, we're going to grow at 15%. You're seeing that we've built inventory up year-over-year. We're sitting here at a turns ratio of 3. So, we feel a lot better about where we are today, but yet you have to understand it's still a very challenging supplier environment and surprises do happen and we will continue to manage through it like we have in the past.
Michael Genovese: Okay, perfect. Last question for me because I feel like I always have to, kind of ask you guys a question just about level of disclosure and what kind of new stuff we can get? And you obviously gave us new disclosure on the platform and managed services customer count over the last five quarters. And I guess my question is that if you're disclosing that customer count, it's not too far away from just telling us the revenue breakout. What are your thoughts on that? If you're not trying to give away too much, but it's not that far of a step from just telling us more of a revenue segmentation of the company. Could I just get your thoughts on that?
Carl Russo: Mike, let me take this real quickly. It's Carl. I'm excited by the change in leadership at Calix with Michael and Cory leading the show. I'm excited that they chose to share this new graph, but I'm still on the room. And so, to be clear, you're right, directionally, you're getting closer. But remember, competition still is something that I have no personal interest in encouraging. And so, I think the combination of RPOs combined with customer land and expand penetration gives those investors who have been following us an even better sense for the power of the model and probably hate them modeling the business. Subscriber counts, ARRs, things of that nature are way off in our future. So, I think you now have the new chart. We'll be speaking to it more as we go forward. I'm excited that Michael and Cory chose to show it. And I think we would best stand pat on that. Fair enough?
Michael Genovese: Yes, absolutely. Thanks a lot. Appreciate the questions. And nice execution. Thanks.
Operator: [Operator Instructions] Our next question is from Greg Mesniaeff with WestPark Capital. Please proceed with your question.
Greg Mesniaeff: Yes, thank you. Question on sales and marketing levels. You've partially addressed my question with raising the guidance on that. I did notice that your Tier 2 customer breakdown was up most significantly in your letter. How does that correlate with the increase in sales and marketing? In other words, is that because you are targeting the Tier 2s a lot more now and that's requiring higher sales and marketing resources? Thanks.
Michael Weening : No. Actually, it has no correlation still in marketing. It's actually just focused on what we're doing with regards to platforms and software. That's what's attracting them, but that doesn't require incremental in Tier 2 at all. So, there's no correlation.
Greg Mesniaeff : Got you. That's all I have right now. Thanks.
Michael Weening : Thanks, Greg.
Operator: Thank you. Our next question is from Fahad Najam with Loop Capital. Please proceed with your question.
Fahad Najam: Good morning. Thank you for taking my question. I want to go back to the supply chain comments. If I look at the level of beat you had in Q3 versus the level of beat versus the consensus you had in Q4, that is, you know, it's narrowing yet your commentary about supply chain improving. So, I'm trying to maybe understand, are you still like having golden parts missing and that impacted the quarter? Just if you can elaborate a little bit more on that.
Michael Weening: Yes, sure. So, I think we were clear in the stuff over letter last quarter. That last [quarter's revenue] [ph] was more of the anomaly, right? We had a certain amount of our inventory line up that allowed us to over perform in the quarter. I think we also said that that was more of an exception at that time. Then what you should expect from us is to have narrower differences between what we actually execute too in the guidance we've performed. So that's what you've seen in the fourth quarter. We did what we thought we would do and now it wasn't anything related to golden screws or anything along that line. We just continue to work the problem and made steady progress on the quarter.
Fahad Najam: Got it. If I revisit your new disclosure, can you give us a sense, I know you mentioned that there's a three dimensions to your opportunity. One is the number of service providers, but there will be other subscribers that they serve and how many subscribers they have enrolled onto your platform? Can you give us a sense on what percentage of your or maybe transactionally give us some helpful hints on how we should be thinking about the subscriber penetration within your broadband service providers that you have disclosed as those who have adopted the cloud versus those who are, you know, just adopting one portion of your cloud service?
Michael Weening: Yes. So, as we've stated frequently, it's early days, right? So, when you think about the penetration on the suites, we've demonstrated in there, if you look at the number, there is 293 [indiscernible] more and more suites into their subscribers. But that also, they have different go-to-market models with regards to, I think [indiscernible], are they included as an embedded into their platform, there's all kinds of different ways to look at this.  So, I would say because it's early days, there is no additional insight other than they have at least one. It's against a portion of their subscriber base and there's lots of upside. As we've mentioned in the letter, there's currently seven managed services that are available for them to deploy and we've announced another four on top of them. So, lots of opportunity ahead, but it's still early days, Fahad.
Fahad Najam: Appreciate the answer. Thank you.
Operator: [Operator Instructions] Our next question is from Tim Savageaux with Northland Capital Markets. Please proceed with your question.
Tim Savageaux: Hi, good morning. My question is about, kind of growth metrics, I guess, at a high level. And you've given us some new ones here with the platform adoption, kind of indicators and at least if you take the big ones, those appear to be growing, kind of in the 15%, 20% range in terms of platform adoption. Of course, as you mentioned, you've got customer additions on top of that. And I want to contrast that with the RPO growth rate. In the 60% range, 15% sequential. So, as we look at those two metrics, I guess, which one would you say is more important in terms of speaking to the overall future growth rate of the company and how do you reconcile the delta to those two and where do we end up and also relative to your overall 10% to 15% growth rate? Looks pretty conservative relative to the metrics. I'll leave it there.
Michael Weening: Okay. Thanks, Tim. Complex question. I would say that Cory mentioned that we were in the range of 10% to 15% now confident and said, we're at the top of that range as we look into 2023. So, I think that's a pretty clear indicator. With regards to future opportunity, that's why I stated in my opening remarks that we're at this inflection point in the industry where we have all these service providers who are legacy minded who have been really focused on one go to market, which is [speed] [ph] and they're realizing really quickly that that's a [coffin corner] [ph] in the future because of the fact that it leads to the commoditization of their product and they need to differentiate. And so, they're looking to us. And as you can see, there's a small number of the potential base, which is up to 2,000 service providers who have deployed our, at only one or more managed services, right? So, there's that 293 that have one or more. So, I would say with the future growth rate, we're just at the beginning of what's possible. That's the best way to state it.
Tim Savageaux: Great. Thanks very much.
Operator: Thank you. Our next question is from George Notter with Jefferies. Please proceed with your question.
George Notter: Hi, guys. Thanks a lot for letting me follow-up here. I guess, I wanted to ask about the tax rate. So, you guys changed the long-term model a bit on tax rate. I also noticed that your deferred tax assets are not going down. If I look at DTAs relative to some prior quarters, can you just talk about, sort of the picture on taxes going forward?
Michael Weening : Sure, George. Happy to do that. I can't believe I'm doing it this early, but go ahead. Yeah. So, we continue to generate some DTAs through R&D tax credits and stock compensation that keeps on adding back to it, but what you saw in the quarter was a benefit that was realized in the fourth quarter. And that has largely to do with some of those deferred tax assets that I’ve talked about. As far as the rate going forward, a couple of things are happening. Obviously, our level of income is going up and the way some of that, and I think I referred to this before, with a [guilty] [ph] and peace was based on foreign operations and that's relatively fixed relative to our growth rate. So, you should expect that to come down unless you've seen us bring down the effective rate by 8%, relative to last year.
George Notter: Thank you very much. And then also you mentioned foreign operations, obviously the company is still very North American centric, could you talk about your opportunity with the cloud platforms products looking into the UK or Europe or other parts of the world? Are you starting to invest there more aggressively and what's the catalyst for getting that side of the business growing?
Cory Sindelar: Yes, George, let me just clarify. When I said foreign operations, it was really our offshore development teams in China and India. But I'll carry over Michael to talk about what we're looking to do on the revenue side for international expansion.
Michael Weening: Yes, George, we've been really clear that the focus on North America because there's such a significant opportunity ahead. While we are running a limited expansion in the international market, primarily in the United Kingdom, we are making it limited. And the reason why is that until we have reached our full opportunity in North America, will be a full [indiscernible] of us to go into other markets where there's so much opportunity ahead. And you're going to see that from us consistently for the foreseeable future.
George Notter: Got it. Thanks guys.
Operator: Thank you. Our next question is from Paul Silverstein with Cowen and Company. Please proceed with your question.
Paul Silverstein: Appreciate it. To go back to Tim's question, Michael’s response, I appreciate that [indiscernible] disbursements are always slower than a lot of us would like and you folks would like. And I appreciate that the supply chain is still challenging. And I appreciate that there are risks to CapEx pullbacks, although you guys have said again and again with your return on investment that you enable that risk is not as promised a lot of us pursued. So, all that said, and I said, I'm sure the investment community appreciates you all having been pretty conservative historically, but all that being said, is there anything wrong with the logic that supply chain directionally will improve? Volume disbursement will increase over time, there will be overlap in all of the things being equal, and your clouds will progress and breadth of adoption, depth of adoption, as well as the server based applications. Shouldn't all that translate into revenue acceleration over time?
Michael Weening: In the future, yes. Maybe, you know, the point is that Cory came out with confidence and said, if you look back on, let's step back a year or two years ago, we were saying 5 to 10, now we're at 10 to 15 and Cory was pretty clear in his commentary that [DC] [ph] is 15%. And so, I think the key thing for us is that we look into 2023 and we're going to cross an incredible milestone. We're going to be right at a billion dollars organically. And the reason why we're doing that and accomplishing that as a leadership team and as an organization is because we're sticking to the tenants that we've intimated over and over again to be excellent at execution, we're focused on those four things. Deliberate revenue growth, gross margin expansion, disciplined operating expense management where we're investing [fulsomely] [ph] to ensure we capture all the opportunity and then most important or as important continued predictability. So, what we're giving you, Paul, is that continued predictability by executing against all those things. So, in the future maybe, but this is what we feel confident as leadership team.
Paul Silverstein: But Michael, just to be clear, if the substance of the disbursement did accelerate, if supply chain does improve meaningfully, all things being equal, unless there's some other factor that would present upside 15% or that's embedded in the 15%?
Michael Weening: We feel comfortable at 15% and that's with all the different variables affiliated with it, if that's what we actually do as we – when we determine what is the growth rate that we feel is a predictable one for our investors. And so, we take all those different inputs, if this was faster, if this was slower, if that was faster, to come up with our recommendation, and our predictions for 2023. And our prediction for 2023, Cory speaking away that he hasn't spoken before, but he actually, he, you know, would always [indiscernible] 10 to 15, he said I see 15. So, that should be an indicator of confidence.
Cory Sindelar: Yes, I think your [indiscernible], you know, if and if, I mean, it's sort of like a mathematical proof. Yes. If you take assumptions and [may guess] [ph], as we've said, this – we think this is a huge multi-generational opportunity. You know, if I think back, if I was [indiscernible], I never mind. [Multiple Speakers] Well, I was thinking about it, and then I was thinking, it’s not possible.
Paul Silverstein: No, but can you expand on one thing though that you've been through multiple for example, government funding, say, you know [indiscernible], right? So, give [Multiple Speakers].
Cory Sindelar: Michael is looking over here and seeing a lot of gray hair. Well, all of this and Paul, you actually, I know you have some gray hair on this too because you remember broadband stimulus in 2009? And the challenges are, I agree with the ifs. The problem is predicting the ifs. So, the goal here with the team is to execute in the planning horizon knowing that this is a big opportunity, but predicting it is just too hard.
Paul Silverstein: Cory. I appreciate that. I'm not [indiscernible] that. I appreciate the conservatism, but to me, it seems like it's stating the obvious. It's really not single and wants to say that if there's acceleration in disbursements, it has a meaningful improvement in constraints, labor and components that that should translate to acceleration for all, not just for you, but for the whole industry. What's so terrible about the logic, but…
Cory Sindelar: Well, wait a minute. Wait a second, sir. It's not a matter of the whole industry. I can't speak to the whole industry. It's not a matter of the way you are conjugating the – and that's the theorem, which is if that does that happen, I agree. The challenge is, it's not conservatism. It's actually realism. I've been through this before. You've been through this before. And it's not being conservative. These programs simply don't happen that way. They never do. And standing in front of them, predicting them, you’re just better off waiting until you start to see the demand, the actual orders and then getting through the coin of revenue and then you got to get to deployments through a labor constraint or other issues. So, there are so many steps in that sequence that if you simply go to the end and say, yes, yes, sure, but it's not being conservative. It's literally being realistic.
Paul Silverstein: I appreciate the distinction. Understood.
Cory Sindelar: Okay.
Operator: Thank you. Our next question is from Fahad Najam with Loop Capital. Please proceed with your question.
Fahad Najam: Hey. Thank you for getting back to me. So, follow-up on your previous discussion, can you give us a sense on where your – how much of your revenue base is currently coming from RDOF? What's your expectations for this year from stimulus funding? And then I have a follow-up.
Michael Weening: Sure. I'll take that. So, today, I think we've been pretty consistent with what we told folks. There is some money coming through, but I understand that that program has had challenges with it. We did start seeing some of the money roll-out last year. That money comes over a 10-year timeframe. So, it's just a small amounts of revenue that we are seeing today. This is a lot more in front of it, you know, [to come] [ph].
Fahad Najam : Correct me if I'm mistaken, but historically, you – I think your previous outlook has been, like, 10% to 12% of the funds ended up in the [comm equipment] [ph] supplier base. Is that still true?
Michael Weening : Yes.
Fahad Najam : Okay. So, my long-term question to you is, clearly your model has evolved to a point where it is almost getting close to, if I look a little bit around the corner that you're almost tracking to a Rule of 40 model that will suffer peers are tracking. Why not begin to convey a Rule of 40 framework as opposed to the current framework that you're still using, which is more consistent with box and ship type of companies?
Michael Weening: Fahad, that's a much longer conversation on the Rule of 40 and the reality of it. We're not – I'll take that one offline because I have a whole different set of beliefs. I'm looking at the market and the Rules of 40, etcetera. So, rather than bore everybody with that here, find another one of my [indiscernible] lectures. I'll take that one offline with you.
Fahad Najam : Alright. Appreciate it. Looking forward to it.
Michael Weening: Thank you for that compliment.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Jim Fanucchi for any closing comments.
Jim Fanucchi: Thank you, Paul. Calix leadership will participate in several investor events during the first quarter of 2023 and information about these events, including dates and times for public webcasts of management presentations when available will be posted on the Events and Presentations page of the Investor Relations section to calix.com. Once again, thank you to everyone on this call and webcast for your interest in Calix and for joining us today. This concludes our conference call. Have a good day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.